Operator: Welcome to the NOW Incorporated Fourth Quarter and Full Year 2021 Earnings Conference Call.  My name is Sheryl and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session [Operator Instructions].  I will now turn the call over to Vice President of Digital Strategy and Investor Relations, Brad Wise. Mr. Wise, you may begin.
Brad Wise: Thank you, Sheryl. Good morning, and welcome to NOW Inc.'s fourth quarter and full year 2021 earnings conference call. We appreciate you joining us and thank you for your interest in NOW Inc. With me today is David Cherechinsky, President and Chief Executive Officer and Mark Johnson, Senior Vice President and Chief Financial Officer. We operate primarily under the DistributionNOW and DNOW brands and you will hear us refer to DistributionNOW and DNOW, which is our New York Stock Exchange ticker symbol, during our conversation this morning. Please note that, some of the statements we make during the call, including the responses to your questions, may contain forecasts, projections and estimates, including, but not limited to, comments about our outlook for the company's business. These are forward-looking statements within the meaning of the US federal securities laws based on limited information as of today, which is subject to change. They are subject to risks and uncertainties and actual results may differ materially. No one should assume that these forward-looking statements remain valid later in the quarter or later in the year. We do not undertake any obligation to publicly update or revise any forward-looking statements for any reason. In addition, this conference call contains time-sensitive information that reflects management's best judgment at the time of the live call. I refer you to the latest Forms 10-K and 10-Q that NOW Inc. now has on file with the US Securities and Exchange Commission for a more detailed discussion of the major risk factors affecting our business. Further information as well as supplemental financial and operating information may be found within our earnings release or our website at ir.dnow.com or in our filings with the SEC. In an effort to provide investors with additional information relative to our results as determined by US GAAP, you'll note that we also disclose various non-GAAP financial measures, including EBITDA, excluding other costs, sometimes referred to as EBITDA; net income, excluding other costs; and diluted earnings per share, excluding other costs. Each excludes the impact of certain other costs and therefore, have not been calculated in accordance with GAAP. In an effort to better align with management's evaluation for the company's performance, and to facilitate comparison of our results to those of peer companies beginning in the fourth quarter and full-year ended December 31, 2021, EBITDA excluding other costs, excludes non-cash stock based compensation expense. Prior periods presented have been adjusted to conform with the current period presentation. Please refer to a reconciliation of each of these non-GAAP financial measures to its most comparable GAAP financial measure and the supplemental information available at the end of our earnings release. As of this morning, the Investor Relations section of our Web site contains a presentation covering our results and key takeaways for the quarter and full-year 2021. A replay of today's call will be available on the site for the next 30 days. We plan to file our third quarter 2021 Form 10-K today and will also be available on our Web site. Now let me turn the call over to Dave.
David Cherechinsky: Thanks, Brad and good morning, everyone. On our earnings call one year ago, as we were emerging from a year when the industry had experienced the worst market and conditions, DNOW responded swiftly and resolutely to defend its bottom-line and lay the groundwork for prosperity in the future. We believe then that the market and our customer spending habits had fundamentally changed, demanding decisive action to redefine our supplier, sales and customer engagement playbook, and adjust our operating model to thrive as the economy began to recover. Downturns motivate change and I see here this morning, amazed at how the highly talented caring customer focus women and men of DNOW have not just embraced, but have driven it. The results of our decisions these past two years are evident, not only in the night and day improvement in financial performance, but in the competence, enthusiasm and competence in our team that provides superior solutions our customers crave in a supply chain stressed environment. During the first quarter of this year, we began operations at our new Permian Supercenter in Odessa, Texas. This facility expands our position and investment in the heart at one of the busiest oil producing regions in the US. It's a formidable presence of our energy locations and the complementary asset strength of Odessa pumps, flex flow, power service, and TSNM fiberglass, strong valuable customer appealing names, fortifying our brand in Permian. During this quarter, we plan to open a new express center in the area to support our customers as their drilling plans ramp up. This location will be primarily supported by the super center as a means to regionalize fulfillment and drive efficiencies and deepen intimacy with target customers.  Now, moving on to our results, fourth quarter revenue was down 2% at $432 million at the end of our guide provided on the last call. For the full year of 2021, revenues were $1.632 billion, compared to the prior year, 2020 revenue grew $13 million or 0.8%, which is notable considering the strong $604 million, 1Q ‘20 pre COVID print that contributed 37% of 2020 revenue. Said another way ignoring the first quarter of each year for the nine months ended December 31, 2021 revenue was up nicely by $256 million or 25% from the same period a year ago. In 4Q ‘21, gross margins expanded again to a record high of 23.4%, up 150 basis points sequentially. This is a fourth consecutive quarterly record for gross margins, and full year 2021 gross margins up 21.9% set a record high as well. We are in an inflationary environment and we benefit from that. But this performance was the result of a careful selection process, where we have cultivated relationships with reputable suppliers who make good products and respect and reward reciprocity as we do. The more purchases we can corral and allocate to our supplier partners, the more we benefit it in terms of product availability, return privileges, and product costs, and the more our customers benefit from availability in a stressed replenishment environment. And because we are selective about which product lines, businesses, locations, and suppliers will support and customers will pursue. We are able to meaning improve product line pricing in the overall mix of product margins as we favor the more lucrative ones, and elevate prices or pass on the less lucrative ones. Now some comments on a regional basis. For US energy, customer capital discipline continues to be a major driving factor on our top line performance as public operators maintain production and return cash to shareholders. As we have commented on our previous calls, the behavior of the public operators has emboldened private oil and gas producers to lead the rig count growth. During the quarter and similarly throughout 2021, we have continued to target and grow share with private operators by providing pipe valves and fittings for the wellhead hookups and tank battery facilities. Mutual success continues with our integrated supply chain services customers as we deliver additional value added services that help our customers lower lifting costs and deliver on their production plans. As an example, we're seeing gains in our work over rig materials management program in support of several key E&P producers on increased maintenance CapEx activity. Fueling growth into 2022, we secured several new PVF contracts in the quarter including a large independent producer with assets in the Permian, as well as a direct lithium extraction business supply agreement for an operation that is potential to scale from the initial phase. In the Southeast, we receive orders from an independent shelf Gulf of Mexico producer, whose flow of producer, whose flow line assets were damaged from hurricane Ida August. We also provided PVF for several compressor station repairs, also attributed to hurricane damage. We experienced an uptick in activity, securing orders for three well-pad facilities in the gas producing Haynesville area from a large independent producer. Sequential midstream sales grew and we expect to see continued momentum as drilling and gathering systems, increase midstream takeaway capacity utilization, driving more investment in midstream maintenance and CapEx projects. Our midstream customer spend has been more focused on natural gas and associated produced water projects, a pivot from previous quarters. In the Marcellas, Utica and Haynesville plays, we supplied well connect skid fabrication kits and launcher receiver packages for several gas producers. We supplied actuated valves on several NGL transmission line extension projects where we provide technical support on product applications and field service support for the mounting, testing, start-up and commissioning of our valves. We provided line pipe, actuated valves and fittings appliances for a number of gas utilities in the Midwest and Rockies. Shifting to US process solutions, we observed some of our customers favoring drilling and completing infield wells that have been minimizing demand for our rotating and fabricating equipment, due to existing transfer and processing capacity. However, we are starting to see increased orders as customer joint programs shift to areas with less existing infrastructure. Some notable project wins during the quarter include pump rebuilds for a number feedstock process and transfer applications for refinery in the Rockies, and we provided a mix of high alloy isolation and control valves for our trona mine project in Southwest Wyoming. In the Powder River basin activity is beginning to recover, as we supplied a number of three phase separators, equipped with valves and instrument for large independent operator, as well as a saltwater disposal package for another E&P operator. Our instrument compressed air and dryer packages continue to experience high demand, as operators replace gas pneumatic systems with compressed air systems to eliminate greenhouse gas emissions. In the Permian, we supplied a number of pipe racks, pump skids and separate us from our Tomball Texas fabrication facility for a large operator, and received a number of orders for new heater, treater vessels and separators. We have been successful in expanding our hydraulic jet pup rentals, replacing ESP applications as operators gravitate to our solution, yielding improved performance on more flexible rental options. In Canada, we saw notable wins in the quarter, with PVF orders for turnaround activity from a large Canadian oil sands producer, wellhead injection packages in Southeast Saskatchewan from an Alberta based producer, along with artificial lift products for maintenance CapEx work in Central Canada. We delivered several large, actuated valve orders through an EPC for a private Alberta based midstream operator. Our International segment experienced the most impact to revenue associated from delays in supply chain and labor availability impacts. Activity is increasing on smaller projects, which should beginning to gain traction, as more rig reactivations occur in the Middle East. Furthermore, a number of the EPCs we routinely conduct business with are seeing an increase in project activity in bookings. Some notable wins in the quarter include delivering a large number of gate, globe and check valves, power cables and accessories for a combined heat and power plant in the UK, power cables and accessories for an upstream producer in Kazakhstan and electrical bolts for an operator in West Africa. Also of note, we have provided pipe fittings and plans for a project to NOC in Oman, as well as a range of gate globe ball and check valves for a gas processing facility in Kurdistan. Out of our UAE operations, we provided actuated valves to an EPC for a methylene reclamation unit for an Indian based refinery and a triethylene glycol production project in Pakistan. We also provided valves for a produced water project in Iraq for an IOC and to an EPC for the Jurassic production facility in Kuwait. Our industry's been dealing with product inflation and impacts on product availability caused by shortages and delays in the supply chain. Our supply chain team's been focused on minimizing disruption by ensuring we have ample products available to support our customers. We leverage our global spend with suppliers to ensure we have preferred access to the volume available while balancing the risk and cost elements through a combination of domestic and import sources. Not only have you worked hard to obtain allocations, we have provided suitable alternatives to customers who increasingly depend on DNOW to find solutions that meet the requirements. This has resulted in several of our customers expanding their approved manufacturer's list using DNOW’s AML. We do have a bit of pipe inventory in transit and pending timing of ultimate receipt, we may experience some challenges with pipe availability in the first half of 2022. Inflation continues for seamless pipe as both domestic and import prices were up during the quarter. Moving to our DigitalNOW initiatives. Our digital revenue as percent of total SAP revenue for the quarter was 42%. We continue to work with our digitally integrated customers to further enhance their e-commerce experience by optimizing their product catalogs and developing customized workflow solutions through our shop.dnow.com platform. We are leveraging and eSpec our digital product configurator for complex engineer equipment packages to advance our US process solutions business. Over the past few quarters, in support of operators need to reduce greenhouse gas emissions, this tool has helped many of our customers configure and eSpec air compressor and dryer equipment packages for your replacement of gas pneumatic systems. Furthermore, a number of our customers project teams use eSpec to help build and construct project bids while others are using it to size launcher and receiver packages for quoting. And finally, we have launched AccessNOW, a suite of automated inventory management and inventory control solutions customers. Our AccessNOW product include cameras, sensors, smart locks, bar coding, RFID and automatic data collection solutions that enable our customers to better manage and control inventory without incurring the expense for the staffed inventory location. And now, I'd like to touch on a few comments related to energy transition. In the US Gulf Coast, we provided duplex stainless vein pump packages to a biodiesel refiner who converts animal fat to biodiesel, and biowater pumps for an electric truck vehicle manufacturer plant in Texas. In Canada, we won multiple orders for zero emission actuated valves through an EPC, working on a carbon capture and storage project in Alberta and from a producer drilling exploratory wells to extract helium for use in the high check industry end market. These successes highlight how a number of existing products we provide can extend to growth markets like carbon capture and high tech industrial manufacturing. We continue to monitor and track an increasing number of energy transition projects. Our business development team has been working a variety of RFIs and RFPs for many customers pertaining to renewable diesel and gasoline, sustainable jet fuel, direct air capture, carbon capture and storage, hydrogen and CO2 transmission and storage projects. As we review bill and materials from the list of energy transition projects, we work with our manufacture part to secure access to broader ranges of suitable products that will service these expanding end markets. With that, let me hand it over to Mark.
Mark Johnson: Thank you, Dave, and good morning, everyone. Fourth quarter 2021 revenue was $432 million, a 2% decrease from the third quarter mainly due to the normal seasonal decline from holiday impacts and fewer working days at the better end of our guided expectation. The US revenue for the fourth quarter 2021 was $303 million down $9 million or 3% from the third quarter. Our US energy centers contributed approximately 79% of total US revenues in the fourth quarter, sequentially revenue was down approximately 4% and the US process solutions revenue was up 2% sequentially. Moving to the Canadian segment. Canada revenue for the fourth quarter of 2021 was $72 million up $4 million or 6% from the third quarter. Year-over-year, revenue was up $24 million or 50% from the fourth quarter of 2020. Canada's strong Q4 performance was propelled by improving demand in the Canadian energy market, paired with the value our customers see and distribution now as model as a trusted and established technical solutions provider. International revenue was $57 million, slightly down sequentially with a decline of $2 million or relatively flat from the third quarter when considering unfavorable impacts from weaker foreign currencies relative to the US dollar. International increased revenue 21% in the fourth quarter or $10 million compared to the same period of 2020. Gross margins improved from the third quarter by a 150 basis points to 23.4%. This increase in gross margins came from several drivers in the quarter. About a third of the sequential gross margin basis point improvement or approximately $2 million favorable was attributable to lower transportation costs and lower inventory charges each by approximately $1 million in the fourth quarter with both expected revert back towards the mean in the first quarter. So far in 2022, we see our transportation costs returning to the elevated norms, eroding some of the margin tailwind as we move into 2022. Another favorable impact on margins in the fourth quarter was driven by increased vendor consideration levels that we do not expect to repeat at the same level in the first quarter of 2022 as purchase volume level thresholds are reset. And the final component of margin improvement came from pricing with the inflationary currents especially in line pipe and high steel content products helping margins expand again in the quarter. We continue to capture margin growth although to a lesser extent across most of our other product lines as we selectively migrate products and solutions that provide the greatest value to DNOW and our customers. Warehousing selling and administrative expense for the quarter was $91 million higher by $5 million sequentially due to strategic facility, relocation and severance costs of $3 million, increased variable compensation resulting from much better financial performance than expected and the early cessation of almost $1 million in COVID related government subsidies, and our intentional investments in resources and people in an overstressed labor market to position DNOW for this growth cycle. We could see a similar reversal in the WSA build moving into 1Q 2022 as our fitness measures continue to bear fruit. And when looking back to 2019, it is clear the Herculean effort carried out by our team to  carried out by our team to transform our model for durable profitability through the cycles is paying off, as we've reduced our annual warehousing selling and administrative expenses by $200 million since 2019. And looking forward, we expect WSA to decrease in the first quarter, nearing our third quarter levels as we see these initiatives take hold across a higher revenue base. Impairment and other charges in the quarter as disclosed on the income statement were approximately $3 million. These primarily relate to the least and company-owned facility exits in the period, as we consolidated 15 facilities in the fourth quarter. GAAP net in income for the fourth quarter was $12 million or $0.11 per share, and on a non-GAAP basis net income excluding other costs was $8 million or $0.07 per share. Non-GAAP EBITDA excluding other costs or EBITDA was $17 million or 3.9% for the fourth quarter of 2021. As Brad noted, our EBITDA reconciliation now and going forward adds back non-cash stock-based compensation expense in each of the periods presented. Stock-based compensation expense for each quarter of 2021 was $2 million. We've been focused on continuously identifying and implementing initiatives to improve our operating model and increase our value to customers. The hard work and commitment from our employees can be seen today in our financial performance. And I want to highlight that our fourth quarter 2021 revenue of $432 million or 35% higher than that of 4Q 2020 had EBITDA flow throughs of 39%, or a quarterly EBITDA dollar improvement year-over-year of $44 million. These strong flow throughs are a combination of our significantly improved inventory profile, higher product margins and operational efficiencies that bring greater value to our customers and our bottom-line. And when looking at the full year EBITDA, we transformed from a loss of $47 million in 2020 to delivering in 2021 positive EBITDA of $45 million or an improvement of $92 million in EBITDA over the past 12 months, on a similar level of revenue. Clear proof of the tremendous efforts and actions our employees have taken, as we delivered a meaningful shift in our company. And I want to thank our employees for this incredible feat that positions us well into this expected multi-year growth cycle. Another success in the fourth quarter that enhances our optionality into the future was our amendment to our undrawn senior secured revolving credit facility, which now extends through December 2026, and provides ample liquidity above our current net cash position of $313 million. Total debt remained at zero and included zero draws in the quarter with total liquidity of $561 million, comprising of the $313 million of cash on hand, plus an additional $248 million in credit facility availability. Accounts receivable was $304 million, an increase of 2% from the third quarter and inventory was $250 million, up $6 million from the third quarter with strong quarterly inventory turns at 5.3x. Accounts payable was $235 million, a decrease of 3% from the third quarter of 2021. And as of December 31, 2021, working capital excluding cash as a percentage of fourth quarter annualized revenue was 11.6%. We do expect this working capital ratio to increase some as we intentionally fuel growth with product availability to support our customers. 2021 marks our fourth consecutive year of positive free cash flow. And in the last four years, we have generated $480 million in free cash flow and that is notable. For 2021, a year where the fourth quarter experienced 35% revenue growth or revenue growth of $113 million from our fourth quarter of 2020, we actually generated $25 million in free cash flow in the year 2021, a period that we would've typically consumed cash at that level of growth. We remain committed to balance sheet management, making investments in good inventory, pursuing strategic acquisitions and maximizing asset health to of fuel the future. We celebrate again, the successful quarter with optimism for the future and we possess the talent, resources and strengths to grow our bottom-line, develop a more agile business, and create sustained value for our customers and shareholders. And with that, I'll turn the call back to Dave.
David Cherechinsky: Thank you, Mark. And now some comments on M&A, a top priority with respect to capital deployment continues to be on margin accretive inorganic opportunities. Through M&A, we are targeting businesses that strengthen and expand our product, geographic or solutions offering to our customers, and position the organizations to take advantage of the market recovery and build on earnings throughout the business cycle. We continue active engagement with potential targets as we evaluate opportunities in our strategic areas of focus, notably for process solutions and differentiating product lines as well as the industrial markets. For every prospect of deal, there are two parties involved. So getting to a conclusion takes time and finess, with $90 oil and a relatively strong general economy seller expectations are heightened, but we are looking for durable and solid financial nperformance at the acquired company through the cycle. Not just when the commodity prices are high. We are evaluating numerous opportunities in our pipeline and we’ll continue to be selective and strategic in what we pursue and ultimately take across the finish line. Over the previous six quarters, oil producers have worked to reduce the global oil inventory surplus, achieved through the combination of North American E&P capital discipline and OPEC+ supply curtailments. This behavior has led to higher commodity prices, improved balance sheets and better financial performance for most of our customers. As their financial health improves, we anticipate additional CapEx investment to maintain and grow production, increased activity will lead to more demand for our PVF products and engineered equipment packages as customers ramp up. I'm optimistic that the current recovery and pace will continue in driving higher demand for our products and services while delivering improved profitability. For our US segment, I expect solid growth on a year-over-year basis as market fundamentals continue to improve. In Canada, we are well positioned to take advantage of continued recovery with commodity pricing providing motivation for producers to increase their budgets. We also expect growth in our Canadian business in 2022 on a year-over-year basis. We are seeing more activity in the energy space providing lift to international projects. In the meantime, as our international segment has been slower to recover, we are adjusting our footprint while ensuring uninterrupted service levels. We expect to see growth in our international segment next year, in 2022. Despite persistent logistics and product availability constraints and a slow start in 2022 due to a COVID surge in January and weather related issues, we believe revenue in the first quarter of 2022 will be up in the mid-single-digit percentage range sequential. WSA could revert to the 3Q 21 levels in 1Q 22 and we expect the near-term normalization of gross margins to approximate the full-year 2021 levels, which were 21.9%. On a year-over-year basis, we expect 2022 revenue to be up in the low to mid teen percentage range. We expect EBITDA to revenue incrementals in the high teen percentage range for the full year 2022, driven by continued market expansion, solid gross margins, similar to the full year percentage levels cultivated in 2021. While COVID, geopolitical matters and supply chain volatility create a fog deeper into the year, we believe revenue gains will be in excess of $200 million and EBITDA in dollar terms could double in 2022. Now, I'll close with the recap of where we are in the early innings of what we expect to be of prolonged market expansion. A year ago, we went into 2021 expecting a full year revenue decline given the strength of 1Q ‘20 pre pandemic revenue levels. So our focus was on cultivating a world class sales team, evolving our fulfillment model to improve product availability and customer service, and to reduce cost per revenue dollar and mitigate inventory risk through the cycle. We work to bias our efforts towards the top line growth to focus our precious resources, where the customer sees value and significantly improve earnings and free cash flow. Looking back, we outperformed our expectations on all accounts from strong revenue gains to record gross margins, record inventory turns, record working capital turns, and now we're expecting to enter our fifth consecutive year of positive free cash flow in 2022, where we had historically struggled to do so in growth years. We closed the book on 2021 with a lot of pride, we entered 2022 pumped. I'm proud that we have zero debt ample total liquidity for strategic flexibility to fund organic growth and to seize inorganic opportunities. I'm confident that we don't have the cash strain from debt service interest payments. I'm excited about the transformation of our operating model and how our Supercenter and regionalization initiatives will provide us continued opportunity to improve financial performance. I'm happy about our organizational skills, and how we're helping solve the current supply chain challenges and bottlenecks our customers encounter. I'm excited about our ability to secure products or substitutes for them. I'm jazzed about how our employees and our customers understand the value we provide, and it's showing up at the gross margin line. I'm excited about our DEI efforts about how we're on a journey of education and action with the diversity and inclusion and how it will separate us as a company and a competitor. I'm proud of our leadership, training, and development programs and the opportunities for our employees to hone their skills. I'm proud of our innovation partnerships with key firms where we're pursuing cutting edge technology from experts to integrate into our business. I'm proud that we have the best sales team and the most conscientious, tireless, customer focused operations people in the business. And I'm excited about our employees earning bonuses, and making DNOW a great place to work and prosper. Finally, beyond all the features, strengths, and accomplishments, we have incredible momentum here at DNOW. What I want our employees and their families to know is that we are shifting from a defensive, protective and hesitant orientation to an proactiveness, winning, pride and excitement. We are building for our future. I want to specifically think our sales team and our people in the field, and all those in front of customers who do everything they can each day to delight our customers, for making DNOW a premier destination our customers seek for solutions and for the collective knowledge that will help us continue to win the market. We are where we are and we are who we are because of you. With that, let's open the call for questions.
Operator: [Operator Instructions]. And our first question comes from Nathan Jones from Stifel.
Adam Farley: This is Adam Farley on for Nathan. First on gross margins with inflation likely peaking in the first half, does DNOW expect to see gross margins peak with some pressure on gross margins as the year progresses, which would usually be typical as inflation moderates?
David Cherechinsky: Well, it depends on the product line in question. One of the big product lines where we have probably had the most success in terms of gains in gross margins, although we have had very broad price appreciation beyond pipe. Pipe is one where we still have pipe prices rising for seamless pipe, which is the primary pipe, steel pipe we sell and that could be experienced further into years beyond the first half. One of the issues though and I mentioned it in my opening comments was the timing of receipt of products is not completely certain. So we could receive some product later in the year, not just us, of course, but our competition and our customers. And that could extend what we expect to see as kind of a premium margin for that particular product line. We are seeing broad-based inflation continuing. To your point, Adam, that could kind of ebb midyear. But for pipe in particular, I don't know that that's the case and for a lot of the product lines we support there are still some long lead times. So I think we have guided our gross margins very high for 2022 and that's pretty much at the same level of 2021, where we saw four consecutive quarterly records. So it's a timing question in terms of receipt of goods. And it depends on how strong our market is and when the inflection point occurs. I mean, I talked earlier about January starting off pretty slow and I think things will get a little more hot here and that should mean a little more scarcity issues in the first half and maybe lingering into second half. 
Adam Farley: And then turning to exiting lower margin product lines, we are in the process at DNOW exiting lower margin business. And is there significant work still to be done or is most of the heavy lifting done?
David Cherechinsky: Well, we're well down that path and I'll say it this way. So to me, we have areas, regions that have strong financial performance due to rig movements and customer budgets and customer consolidations, and those things all affect the success or the contrary for locations product lines customers, et cetera, that's always changing. To me, this is a gardening effort around making sure we're focused on the right things, making sure we apply limited resources to where we could make money for our shareholders, so we couold prepare for the future and continue to grow the company. So I just think it's an ongoing reality of business, no matter what business you're in, that you always have to kind of fertilize and weed and replant and kind of always situate the business where the sweet spot is in the industry. So that's just an ongoing thing. In terms of major structural changes, I think we're done there. I think we're out of the cost reduction mode. We are in the kind of the phase I call it a kind of fulfillment migration where we do want to regionalized most of our fulfillment to major centers of opportunity like for standing up in Williston, in Houston, and Odessa, and Casper, et cetera. We want those to be high volume locations with well-trained people focused on one thing that's taking care of the customer, whether it's walk-in business, everyday business, large projects, speculative activity. We want that to be regionalized. We want top talent managing those supply chains, and we want more kind of nodes or express centers or small local locations being intimate with the customer. So I see that's still happening but it's kind of speeding up right now and real excited about it.
Operator: [Operator Instructions] Our next question comes from Tommy Moll from Stephens.
Tommy Moll: Dave, I wanted to start on WSA, it a sounds like the guidance is pretty clear for first quarter, maybe in the range of third quarter from last year. I wonder if you can just refresh us on the higher level philosophy here, I think last quarter you said, for every dollar of revenue you're looking at $0.03 to $0.05 of incremental WSA. So if you could just refresh us on that and give us any signal of how that expense line might progress sequentially throughout the year? That'd be helpful.
David Cherechinsky: So I think on the last call, I said a few things that we still have a list of projects we're working on to improve efficiency of the business. And I said that we had a plan to reduce WSA in the 12 to 15 range in 2022. And as we also said -- I also said that for each incremental revenue dollar above what last year's level we'd add $0.03 to $0.05 in expense, off-setting those reductions we're making. In the meantime, especially in the last several months, I think it's been over a hundred days since we talked to the public, the impact of -- on one hand, we've benefited quite nicely. I believe most of it's our cultivation strategy and focusing on the right things from improved pricing, that comes from product inflation, product scarcity, lack of availability. And of course, we experienced that in the labor market as well. And so that's kind of a new layer of attraction or retention costs that we experience that's layered into our guidance for 2022. But our philosophy is to significantly bring down WSA as a percent of revenue, to continue down a path of improved efficiencies. From 2021 to 2022, we'll probably reduce WSA by at least 200 basis points as a percent of revenue. Like I said for several quarters, we are in a build mode. We're in a growth mode. We are prioritizing growth over cost containment, but we are -- like I said, in the answer to last question, we're focused on changing our model and we're really making good head way on that path. So we did kind of guide the first quarter to around $86 million. It gets a little murky going forward because we are -- although we guide to it I think very tightly in our overall guidance on flow throughs and revenues, et cetera. But we're going to be focused on having the best people in the business. We're focused on beating the competition. We're focused on growth. We're focused on higher margins and cultivating new business, and biasing those efforts towards higher margins cost a little more. So that percentage is percent of revenue will come down. Our projects to pull costs out of the business are underway. But we are also, like I said, we're standing up a location this quarter. We're investing in new super centers for the future to grow the business and those will be kind of offsetting costs. But we understand how important it is to be lean that'll help us in good times and bad, and we're still going down that path for sure.
Tommy Moll: And just as a follow up on your supercenter comment there, Dave. You are in a growth market now and you pointed out you'll get increasing leverage on the WSA line up standing you're investing there. So I'm curious the philosophy when you green light those investments, like what you just called out on the supercenter, what are the set of conditions you want to see to have the confidence to move forward and make that incremental investment?
David Cherechinsky: So for example, the Permian basin, which to me DNOW has a really strong physician in the Permian basin, not just from our standard branch business, which we're evolving, but from like I said, flex flow of Odessa pumps, TSNM fiberglass, and power service. We've got a really strong presence there with great brands, and we think we have a real good position. Now in the last quarter, in the fourth quarter of 2021, we consolidated 10 locations in the Permian into five, in one part of the Permian. We think from that we'll have more inventory for our customers. We'll be able to manage projects from fewer locations, from people who deal in volume where we can get the expense per revenue dollar down, we won't have distributed inventory risk what I call when you have inventory strew about a network kind of exponential inventory risk, you'll have less inventory risk in the next downturn and you'll have a much more efficient business. So we're growing in the Permian, we're standing up, we're growing in the Permian, we just stood up a supercenter, but we're consolidating, we're doing it smartly. And we're going to be better able to take care of our customers, have more inventory to do so with less inventory risks. So that's an example of we are pulling cost out and getting better and getting strong in the market.
Tommy Moll: And Dave hope I'm not overstaying my welcome here. But just on that point you made, so using the Permian as an example. If you -- net of everything you just described and pro forma for the super center, is it fair to say that revenue per employee and revenue per square foot of roofline versus before the downturn should be higher, notwithstanding the fact, like you said that you consolidated 10 to 5 branches?
David Cherechinsky: I think so. Now, the roofline comment, I'm not sure about. We might actually have more space today. So I'm not going to comment on that, but we should see improved, really improved earnings per employee. Because I'd be more interested in the bottom line impacts of the investments we make or choose to walk away from than the top-line. But generally that top-line should follow soon, but I'd be more interested in watching the bottom-line.
Operator: Our next question comes from Jon Hunter from Cowen & Company.
Jon Hunter: So first question is just going back to the margins. The guidance seems to imply you are at like high 21 margin in the first quarter, and that's what you're aiming for for the year to be inline with 2021. So I'm curious how you see margin progressing? It seems flattish based on this outlook. But you've got HRC pricing that's gone down quite a bit since the peak in September. I'm curious of things that you are doing to offset some of that pipe inflation. And then as it relates to 21.9%, is that a level of gross margin you think you can maintain on a multi-year basis, I guess, as we go into '23 and '24.
David Cherechinsky: I do. I mean, so 2021 was our best gross margin year. Each quarter had successive improvements in gross margins. So while we wanted to come into this call saying 22% in 2022, we are a little bit cautious about over guiding on gross margins, because we had such success in 2021. And to the points about hot rolled, coil steel prices, declining inflation, maybe ebbing midyear, which I think would be later in the year generally and maybe even later in the year for pipe, there are some offset to that. But in terms of maintaining it over time, I believe we can. And here is what I mean. We didn't talk about it in our prepared remarks and we didn't talk about it in the Q&A yet. But during 2021, we in fact, mostly in the fourth quarter of 2021, we exited consolidated 15 locations. And today, we have over 125 fewer people than we did at the end of 2020, in part, because we walked away from some low lower margin business. We didn't see, we are trying to be more efficient as a company. The efforts underway for those folks wasn't generating kind of margins. So we walked away from maybe $30 million of business. What that means is, we have our people focused on the higher margin stuff. We don't have our people focused on lower margin stuff. We are able to generate much better flow throughs from the activity in an environment where it's hard to, and we have to deal with labor inflation as well as process inflation. So I think, it's a matter -- it's not just the market that's driving our gross margin performance. In fact, I made a big deal about it in the last call, we've made year-over-year product margin improvements for the last five years. If that's a matter to me of careful cultivation of what you're not going to do in the market to make sure you have the right people focused on the right thing. So I do think that these gross margins can be sustained. And in terms of how it flows during the year, I think we're just going to have to see, I think it's -- if some of our higher margin products are less available, then of course, we'll see a mix issue and that would be depressive to margins. But we've guided for very strong gross margins. I do believe it's sustainable, and it comes from real laser focus of what we're not going to do as a company.
Jon Hunter: Switching gears a little bit, I guess to the top-line side of things. So you guided ‘22 revenues are up low to mid-teens. To me, it seems like it could be a little bit conservative. I mean, the rig count's tracking up 30% year-over-year, US is maybe 70% of your business. So just based on that, you're up 20%. Now, I know, there's a little bit of public versus private customer mix going on, but you also said that Canada and international should be up in 2022. So curious, if you can help me kind of look into the moving pieces regionally in the 2022 outlook for revenue to be up low to mid-teens?
David Cherechinsky: So we're basing that on what we see in terms of what's happened in the first 45 days of the quarter. We're basing that on what we see in terms of the influx of products. We're basing that on what our customers are telling us and we're looking at some of our peers and how they're seeing the market. And we think that's -- I don't see that -- we gave a range of load and mid-teens in terms of revenues. I think most of that by the way will happen -- I think we'll see the strongest growth in the US, seconded by Canada and then more modest growth internationally. But there is -- if you look at rig count and completions, and some of the things we traditionally looked at, there's been a decoupling in terms of customer budgets from those numbers for several quarters now. We expect that to persist. And so we're guiding -- we're given this our best effort of what we think the growth's going to be. And like I said earlier, to see the kind of gross margin progression we've delivered and to continue to kind of prune the business and pull out costs where the value is not being added, we've walked away from probably $30 million in revenue. So that would be 2% or 3% more revenues that we would've enjoyed in 2022, but that we wouldn't have benefited from the bottom-line. So I think that's a good range and it depends on how the year flows, and so I think we're sticking with that. I don't think it's conservative. I think it's certainly at the top end is a pretty strong number.
Jon Hunter: And then last one for me, you expect to generate free cash in 2022. Do you think you can do better than the 25 million you did in 2021, and how does working cap consumption work into that outlook?
David Cherechinsky: I think it's in that range. I mean, the one wild card there is in the seat and timing of inventory -- this is what kind of the one thing driving, whether that'll be more or less than $25 million, but I think we can beat 25 million. There are scenarios where we're ahead of that, and scenarios where we're a little bit behind it, but we do plan to be well prepared for the growth in the coming months.
Operator: Thank you. Ladies and gentlemen, we have reached the end of our time for the question answer session. I will now turn the call over to David Cherechinsky, CEO and President for closing statement.
David Cherechinsky: Okay. Thank you for interest in DNOW. And I look forward to talking to everyone on our first quarter call in May. Have a good day.
Operator: Thank you, ladies and gentlemen for participating in today's conference. This concludes our event. You may now disconnect.